Operator: Good day and welcome to the Nova Measuring Instruments Ltd. Fourth Quarter 2018 Results Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Miri Segal of MS-IR. Please go ahead.
Miri Segal: Thank you, operator, and good day to everybody. I would like to welcome all of you to Nova’s fourth quarter and full year 2018 financial results conference call. With us on the line today are Mr. Eitan Oppenhaim, President and CEO; and Mr. Dror David, CFO. Before we begin, may I remind our listeners, that certain information provided on this call may contain forward-looking statements, and the Safe Harbor statements outlined in today’s earnings release also pertains to this call. If you have not received a copy of the release, please view it in the Investor Relations section of the company’s website. Eitan will begin the call with a business update, followed by Dror, with an overview of the financials. We will then open the call for the question-and-answer session. I’ll now hand over the call to Mr. Eitan Oppenhaim, Nova’s President and CEO. Eitan, please go ahead.
Eitan Oppenhaim: Thank you, Miri, and thank you all for joining our fourth quarter and full year 2018 financial results conference call. I’ll start the call today by speaking briefly to our fourth quarter results. I will then spend some time summarizing 2018 performance highlights and conclude my part with the guidance for the first quarter of 2019. Following my commentary, Dror will review the quarterly and full year financial results in details. Novo reported strong results for the fourth quarter, with revenues reaching the high end of the guidance and record profitability, which exceeded the guidance range. These achievements are further evidence of our steady progress along the year to widen the company’s exposure to all semiconductor front end segments in all territories. We are very encouraged by this progress, that is fundamentally increasing Nova’s resilience and support us in the current volatile environment entering 2019. Our solid performance this quarter is supported by our diversified customer mix, which yielded four large customers including the world’s largest Foundry and the three leading memory providers. As a result, memory and Foundry contributed evenly to our overall products revenue in the quarter. Our financial results for the quarter were an excellent conclusion to a sixth consecutive record year, highlighting the strength of our unique product offering, our diversified customer base, our operational excellence and our position as the leading metrology innovator. Following the fourth quarter results, 2018 turned out to be an outstanding year for Nova, with record financial performance, demonstrating the transformation we went through to establish Nova as a multi technology and products company for all semiconductor front-end segments. Our consistent performance to 2018, which reflects compound annual growth of 18% has resonated with our customers as we have been able to meet their growing demand for advanced metrology in a very challenging wafer fabrication environment. Overall, our market position exiting 2018 is significantly better than ever before, and is driven by four main achievements, that assist the company to better handle market volatility. The first, which deserves special emphasis, is the annual revenue mix that balances the company exposure to all front-end semiconductor parts, with Foundry and memory contributing 50% each to the product revenues. Through 2018, and in order to meet our annual growth targets, we had to accelerate our penetration efforts to key memory accounts and succeeded to increase memory revenues by 60%, setting record levels and significantly outpacing the memory market growth rates. This achievement is also highlighted by our annual customer mix that included four large customers, including the two leading memory providers and two large foundries. This is driven by the significant inroads we have made to strengthen our competitive position with all memory customers while keeping our leading position in Foundry. The growing balance in our customer base, and the increased exposure we have to more opportunities, supported our performance in the second half of 2018, where we mitigated memory pushouts with growing logic demand in the most advanced seven and five nanometer nodes. As a result, all of Nova’s dimensional and materials metrology tools have been selected as tool of record in the most advanced in 5 [ph] logic sites. This achievement is mostly reflected in our Q4 results with growing contribution from TSMC. The second achievement -- the second achievement to elaborate on is the territory mix, where our exposure was widened to include 3 main territories; Taiwan, Korea and China contributing more than 20% each for our product revenue in 2018. The third item to mention is the growing contributions from our service sales. The strength in our service business generated a new yearly record, which reflects 21% growth year-over-year. Our continuous in enhancing our installed base is bearing fruit with various solutions that enable enhance productivity, better utilization, and improved metrology in previous models. We expect to see continuous growth in the service business in the coming years as well, while our installed base is growing and our upgrade packages are evolving. The fourth pillar to highlight is our aggressive plan to innovate the unique product strategy that is based on our differentiated optical in X-ray technologies, for both dimensional and material process control. These diversified offering proved itself beneficial this year, with few customer wins, demonstrating clearly the competitive edge in a wider measurement capabilities. As a result of our unique approach, a growing portion of our product revenue generated today is based on solutions that only Nova can provide. As we shared in our previous earnings calls, we increased our investment in R&D during the year, in order to further develop organic growth engines. In addition to the three new generation dimensional and materials metrology hardware models, we launched at the beginning of the year. We also introduced the unique breakthrough machine learning software suite in 2018 to complement the traditional physical modeling software engine that has been used in the industry for many years. The new novel suite software significantly enhances our metrology capabilities and provides adaptive metrology solutions. The ability to combine hardware and software into one solution is already bearing fruit with more than 10% of all dimensional metrology revenues generated by this unique offering. Additionally, we are very encouraged by the progress we have made with the two new technologies we have developed for advanced metrology applications. As detailed previously, and according to our plan, both technologies were rolled out to the markets recently. These two new approaches to metrology techniques were shipped to two customers for evaluation. We expect these assessments to be completed during the year. Finally, as part of our product strategy entering 2019, we see a strong shift into materials metrology where more complex measurements are needed. Composition, stress, strain and other measurements have evolved to be major barometers to control all device types. Because of this trend, we believe that the materials engineering overall market will grow significantly in the coming years, and will support our materials metrology growth engines. Finally, and in order to conclude the year’s results, we are very pleased with our record annual profit, which demonstrates once again the value our offering brings to our customers and our shareholders and the operational efficiency we embedded in -- into our business model. Our confidence in Nova’s long term growth opportunity, notwithstanding the current market challenges, led us to establish a 25 million share repurchase program. Our prospects for continued growth in the long term are still positive, and give us the confidence in our plan with support enhancing our shareholders value. In order to conclude my prepared remarks, I would like to briefly highlight the market dynamics as we see them currently. In terms of the present demand, we are aligned with the consensus expectation for a soft 2019. In our view, the spending environment is largely influenced by a decline in memory spending in both the DRAM and NAND. Nevertheless, we expect growing Foundry and logic investments in the new logic and Foundry nodes of 7-nanometer and 5-nanometer. We believe, as do many other semiconductor companies, that although we should expect a year of slower memory digestion in 2019, the long term growth opportunity for the industry remains solid, fueled by more high end applications that require better computation power and memory capabilities. We expect that the current soft mobile and data center demands will be better optimized along the year. Low visibility in the industry today is challenging particularly in Memory. Our current view is that the second half 2019 may generate market upside with the possible rebound in memory and N5 Phase 2 early rollouts towards the end of the year. I would like to emphasize that this is based on our internal current assumptions only. As for Nova, although we are not immune to the market volatility, in current low visibility, we expect that given our innovative leadership by new product rollouts and our balanced exposure to broader opportunity range, we are positioned to do better than the industry in 2019. As for the first quarter of 2019 guidance, we expect revenues in the range of $52 million to $58 million. Diluted EPS on a GAAP basis in the range of $0.15 to $0.26 per share and non-GAAP basis diluted EPS in the range of $0.24 to $0.34 per share. Now let me hand over the call to Dror to review our financial results in detail. Dror?
Dror David: Thanks Eitan. Good day everyone. In my following prepared remarks, I will refer to both GAAP and non-GAAP results. You can find a detailed reconciliation per item at the end of the earnings press release. Total revenues in the fourth quarter of 2018 were $63.1 million, at the high end of the company quarterly guidance. Of the company’s products revenues, 55% came from memory, a record quarterly level in percent and in dollar terms, and 45% came from Foundry. On the customer distribution front, TSMC, Samsung, Hynix and Micron were the largest contributors to the company product revenues in the fourth quarter. This customer list includes the world’s leading Foundry and the three largest memory providers, which emphasizes the company wide and balanced exposure to the overall semiconductor front end market. We believe that this balanced exposure across customers and segments was a main catalizator for the ability of the company to produce record level quarterly results and meet challenging market conditions. Blended gross margin in the fourth quarter was approximately 57% within the company target model of 56% to 59%. Product gross margin came in at 63% while services gross margin decreased to 38% mainly as a result of year-end adjustments. Operating expenses in the quarter totaled approximately $21 million on GAAP basis and $19 million on a non-GAAP basis lower than the previous quarter. The decrease in operating expenses resulted mainly from incremental R&D income of approximately $2 million, which was received at the last week of the calendar year and was recognized on a cash basis. Recently, the company was able to complete the transition of its local Israeli government funding for its so-called generic R&D program, which does not bear royalty. Looking forward in 2019, we expect R&D income to fluctuate on a quarterly basis as it depends on the timing of payments and approvals to be received from government authorities. Operating margin in the quarter was 24% on a GAAP basis, and 27% on a non-GAAP basis. The effective tax rate of the company in the quarter was approximately 7% significantly lower than previous quarters, mainly as a result of the catch up of tax credits related to the new tax legislation benefits in the U.S. Earnings per share in the quarter were at an all-time record with GAAP EPS at $0.53 per diluted share and non-GAAP EPS at $0.59 per diluted share. This is significantly higher than the company guidance for the fourth quarter, resulting mainly from higher R&D income and lower effective tax rate in the quarter. On an annual basis, the company reported record revenues of $251 million, 13% increase over 2017 reflecting its sixth consecutive revenue growth year. Product revenues increased by 11% year-over-year and included a balanced distribution between Memory and Foundry each contributing 50% to product revenues. As Eitan mentioned, memory revenues grew by approximately 60% in 2018, significantly higher than the overall memory CapEx growth rate. The largest customers, which contributed to 2018 annual product revenues, were TSMC, Huali, Samsung, Hynix and Micron. In 2018, service revenues increased by 20% year-over-year. This increase was driven by expanded installed base as well as by specific fab wide upgrade projects. Blended gross margin on an annual basis came in at approximately 58% within the company target model of 56% to 59%. Operating expenses in 2018 increased by approximately 15% mainly in research and development and sales [ph] and marketing as the company continued to invest in new technologies and product offerings, and further expanded its customer facing teams. Operating margins in 2018 were 24% on a GAAP basis and 27% on a non-GAAP basis, within the company target model of 26% to 29%. Annual effective tax rate was 14% lower than the previous year mainly as a result of the impact of the new U.S. tax legislation. Earnings per share in 2018 was at an all-time record with GAAP EPS at $1.89 for diluted share and non-GAAP EPS at $2.11 per diluted share. During 2018, the company generated operating cash flow of approximately $36 million and invested approximately $4 million in capital expenditures. Regarding the company outlook for the first quarter of 2019, at the midpoint of the company guidance, we expect the following; Blended gross margin is expected to be approximately 55%. This is lower than the average due to a less favorable product mix in the quarter, coupled with the introduction of new product models, which bear higher costs than their initial product penetration sales. Operating expenses are expected to be approximately $23 million on a GAAP basis and approximately $21 million on a non-GAAP basis. Effective tax rate in the first quarter is expected to be approximately 15%. With regard to 2019 as a whole, our expectations at this point in time is following, during 2019, the company will transition its main offices in Israel and the U.S. to new locations. This position is expected to conclude during the year. As a result, capital investments are expected to increase to approximately $20 million in 2019, and then return to normalized levels. In addition, the company is expected to bear some duplicate office lease costs during some of the office transition period. The company plans to adjust these duplicate office lease costs for non-GAAP representation purposes. On an annual basis for 2019, we expect blended gross margins to be within the range of the company target model of 56% to 59%. On the tax front, we expect the effective tax rate to be approximately 15% across the year. In addition, starting January 1st 2019, the company is required to implement the new lease accounting rule known as ASC 842. This rule requires the company to present operating leases, which extend for a period of more than one year as an asset and liability in its balance sheet. As a result of this accounting implementation, the company is expected to record an amount of approximately $25 million as assets and liabilities on January 1st 2019. The majority of these lease liabilities are denominated in New Israeli Shekels, and are linked to the consumer price index in Israel. Therefore they are exposed to exchange rate fluctuations on the full amount of the liability on affluent basis. The company plans to adjust the implications of these exchange rate and linkage differences for non-GAAP representation purposes. I will conclude with the company’s cash reserves, which increased to approximately $170 million at the end of 2019 -- 2018. This cash level will enable the company to continue to pursue new business opportunity as part of the company’s strategic plan. With that, I will turn the call back to Eitan.
Eitan Oppenhaim: Thank you, Dror. With that, we will be pleased to take your question. Operator?
Operator: Thank you. [Operator Instructions] And we’ll take our first question from Jaeson Schmidt with Lake Street Capital Market. Please go ahead.
Jaeson Schmidt: Hey guys. Hey guys, thanks for taking my questions. I know, you kind of outlined some dynamics within Foundry and memory this year, but if we take a step back and look at sort of the big picture, what do you think your product mix will be for 2019 between those two?
Eitan Oppenhaim: So Jaeson, we don’t guide beyond the quarter, but I assume that based on the recovery in TSMC understanding in 5-nanometer that it will wait back in to the Foundry, not significantly but I assume that Foundry this year will be larger.
Jaeson Schmidt: Okay, that’s helpful. And what percent of the product revenue in Q4 was related to trailing nodes?
Eitan Oppenhaim: I think you can assume around 50% of the revenues are related to our trailing nodes.
Jaeson Schmidt: Okay.
Eitan Oppenhaim: Between 40% [ph] and 50%.
Jaeson Schmidt: Okay. And the last one from me, and I’ll jump back in the queue. I know previously, you have you have talked about the service revenue line being able to grow around 10% annually. Given the current macro backdrop, has that significantly changed that all?
Eitan Oppenhaim: No, we don’t think so. The install base of the company in general is growing 10% a year, which means we have more opportunities more or less at that rate. So, we do expect 10% annual growth in services looking forward.
Jaeson Schmidt: Okay, thanks a lot guys.
Eitan Oppenhaim: Thank you very much, Jaeson.
Operator: [Operator Instructions] We’ll take our next question from Patrick Ho with Stifel. Please go ahead.
Patrick Ho: Thank you very much, and congrats on a nice year. Eitan, first off on your services business, you displayed above average growth in that segment in 2018 and you’re looking for another year growth. The margin profile also continues to improve in that business segment. Can you discuss some of the -- I guess business changes and how you’re I guess enhancing that business segment to contribute to the overall gross margin profile of the company.
Eitan Oppenhaim: Yes. So basically we are very encouraged from the growth that we see in the last few years. As you said, it’s consistent performance to increase those businesses. I think that because of the -- of the amount of integrated metrology that we achieved on a yearly basis, the installed base is growing tremendously. And proactively what we do on the installed base is coming with few packages. The first one of course is productivity all the time. So customers that want to utilize our tools better, usually asked to enhance productivity and this is what we do. Secondly, if the metrology capabilities as you know as we progress with our technology, we also progress with the metrology capability. So we have the capability to take some of the metrology enhancement that we do to the new tool, also do some upgrades to the old tool. And the third element is, of course software upgrades. As always, we continue to enhance our software and we are very strong in that -- the part of the software capabilities. So we go back and also install that on the on previous models and the previous install base. And additionally, to that all, there are some trailing nodes that are asking to trade in their old tools for new tools. And the way that we look at that that part of our R&D currently, the investment that we do is to invest also in packages for the customer support or the service business. So, we more count on proactive sales into this installed base and by that we see the growth on the last few years.
Patrick Ho: Great. That’s helpful. And maybe as a follow up question from me in terms of your memory exposure over the last year as you mentioned it grew over 60% in 2018. It was obviously driven by a mix of both DRAM and 3D NAND. We do understand the capital intensity trends in 3D NAND and layers, and how it requires more OCD and actually metrology. Can you discuss some of the capital intensity trends on the DRAM front and how that’s driving some of the business or the memory growth on the DRAM side?
Eitan Oppenhaim: Yes. So I’ll start first by saying that it’s different between DRAM and vertical NAND. So in DRAM, it became almost like in Foundry. And when you’re looking right now on the challenges that we see on the current 1X, 1Y, 1Z technology node, you see that there are emerging challenges for many of those 3D layers that require more intensity on the DRAM. So definitely, when you go right now to advance node in DRAM you see more intensity on those tools. V NAND is a different story. So in V NAND upto the certain amount of layers, which shifts around depends on the customer between 64 layers to 96 layers. The intensity was the lowest between the segments. But looking right now on the challenges going ahead, moving from 96 layers and above, we start to see new challenges and this is where Nova coming into play. For example, you can’t build anymore, the stacks with 1H process. So you need to start building multi stock capability. So when you have multi stack up ability, you started to see overlay problems between the stacks, you’ll see some tilts between the stacks. So suddenly we see more demand for intensity once you move from 64 layers or 96 layers and above. And those are totally different challenges that we saw before. If it was under etch, over etch and high aspect ratio application. And looking right now on those new applications, they require more metrology and actually it’s not that the traditional or simple metrology. And when you’re looking like now in our revenue, the combination of X-ray together with optical and our ability to get it in with smart algorithm phase actually gave us the wins exactly on those applications in memory.
Patrick Ho: Great. And final question from me for Dror in terms of OpEx and the trends as we look at 2019 as a whole. You know, obviously there’s big moving pieces like you said on the R&D front, but given that you’re also expanding or transitioning your locations in both the U.S. and Israel, CapEx is going up. What are some of the swing variables for OpEx as we look at 2019?
Dror David: So, I think that the main issue right now is what Eitan mentioned on the fact that the companies is actually rolling into the market to new technologies right now, and hopefully we expect to add another one through the year. And this has definitely had an impact on the level of operating expenses. On the other hand, we are aware of market conditions, and we are doing our best to contain the operating expenses as much as possible. Looking forward at this point in time, our best assumption is that operating expenses through the year will be at the same level of the first quarter or slightly lower.
Patrick Ho: Great. Thank you very much.
Operator: We’ll take our next question from Quinn Bolton with Needham & Company. Please go ahead.
Quinn Bolton: Hi, Eitan and Dror congrats on a strong finish to 2018. Wanted to get your thoughts on just sort of how you see sort of that the spending patterns between Memory and Foundry and I’m sure nodes as you come through 2019, certainly seems like memory spending will be weaker in the first half with some potential for recovery in the second half. But would love your thoughts how we should be thinking about just the spending trends in the advanced Foundry and the mature nodes part of the business/
Eitan Oppenhaim: Yes, so Quinn this is Eitan. I’ll try to start answering that. So part of my remark, I talked about the Memory weakness which is not new to anyone. We exposed to that in the last-- in the last few months and it probably would continue in in the first half. And also, I said in my remarks that we may see an upside on the second half towards Q4 because of two main events. One is, the memory rebound and secondly TSMC Phase 2, 4 and 5. And the reason that we talked about is that is actually a couple, one, when we are looking right now on the memory cycles, namely DRAM in the last few years, we see that the DRAM cycles are becoming shorter. Okay, so the market is becoming more responsible, companies are becoming more resilient. And if before the cycle of the supply demand was around two years or even more. You can see that in 2009 it was going down through 9 quarters, and if you analyze what happens in 2015 and 2016 it actually went to five quarters. Assuming that there is long term demand for DRAM, which is what we believe. And if you take five quarters or even six quarters from the day it started to slow down, we believe that somewhere in the second in the second half, we’ll see some rebound in DRAM, this is our expectation. Secondly, regarding the vertical NAND. So it’s there’s no way to go back to a planner, right. So the investment in -- investment in this memory device will continue. We think that company has to digest the capacity that they took aggressively last year and therefore we think that the price more models and the oversupply that we see currently will be optimized somewhere in the second half. And the third issue is the TSMC one. Looking right now on the CapEx that they announced and the amount of equipment that they took as well as the earning that we had with the largest semiconductor company brought this company a few weeks back. We assume that somewhere in Q4 or Q1 2020 they will start to take equipment again for phase 2 of N5, and it’s usually with TSMC the same thing every year, so they plan it somewhere in Q4, some of that put in, some of it pushed out. But we think that currently they will be pulling in. So that’s the cycle that we see. But from the current visibility we have on H1, we don’t see the memory rebounding okay. So this is why we think that H2 probably will be stronger, and besides the market that we just talked about, we are rolling out at least two new products which are new technologies to the market, which has high value and if they will be able to be successful in the market, probably we’ll see a multi-million revenue coming to Nova by the end of 2019. So this is why we talked about a bit about what happens in the second half. Hope it’s helpful, Quinn.
Quinn Bolton: Yes, very very helpful, Eitan. And I wanted to follow up on that on the two new metrology technologies. I think you said that you have those technologies now at two customer sites. Wondering, if you could comment, are you have both technologies under evaluation at each customer site, or is it one technology per customer. And can you give us any sense? Are the applications of the new technologies more applicable say in advanced logic DRAM or the NAND side of the business?
Eitan Oppenhaim: So generally those two new technologies which are different from each other, they’re not similar are installed in two different customers. And you want to restrain from exposing the name of the customers, as it’s some competitive information that embedded in that. I just can say that those technologies were not our plan to answer one segment. So it was not planned to do only memory or do only Foundry. When we’re looking right now on the advanced nodes, and the challenges that we see on the market, we see that some challenges. And I talked; I talked about it when I answered Patrick. I think that part of that are not -- I cannot answer the by the traditional OCD or X-ray tools. So we had to come out with the two types of technology that can complement our traditional metrology in order to answer those growing challenges. Now those two technologies are when we’re saying evaluation, it’s a complete tool that will shift for alpha and beta. And we definitely hope to see some good results in the next coming months.
Quinn Bolton: Then next a quick clarification for Dror. Dror you had mentioned that gross margin in Q1 would be slightly below the long term target because in part of new products. Were you referring to those new technologies, or are these just sort of upgrades to existing metrology tools?
Dror David: No, these are not the new tools. These are tools which are new versions of the existing technologies that we offer in the market, which are moving into the mostly high end applications in the market, including the N5 [ph] technology node that Eitan mentioned.
Quinn Bolton: Okay. Thanks for that clarification.
Operator: We’ll take our next question from Mark Miller with The Benchmark Company. Please go ahead.
MarkMiller: Let me add my congratulations for your record quarter in 2018. Staying on the course of X-ray and metrology with these two new tools, I assume that you you’re expecting that the X-ray sales will grow year-over-year in 2019. And any indication how much?
Eitan Oppenhaim: So Mark, we don’t break down the numbers, but we do see from last year and significant increase in our sales of the X-ray, of the X-ray tools. I just want to put a disclaimer on -- the on the new technology. The new technologies are not necessarily doing using the same, the same technology as we used before. So it’s not necessarily X-ray or not necessarily optical.
MarkMiller: And the -- your margins for these X-ray tools, are they at or below the margins for your other tools?
Eitan Oppenhaim: The X-ray tools are at the same gross margins as the optical tools.
MarkMiller: You had a little different distribution of 10% customers. You had five last quarter, four this quarter. Is this indicative of domestic Chinese memory manufacturers just pulling back, why this is a little bit different this this quarter?
Dror David: Yes, I think the main issue here is investment patterns, by the different customers. TSMC has several quarters of investment and then digesting and so are others. So it’s just reflecting off the general investment patterns of -- off the specific customers. The most important thing for us is our ability to be exposed across segments and territories and across these customers in order to be able to enjoy any investment cycle within the industry.
Eitan Oppenhaim: Mark, this is Eitan. I would like also to add to Dror on the business side. Looking right now on the fourth quarter and the customer distribution, this is exactly what the company aims at the beginning of the year. You have three strong memory customers, Dror named them, okay, which is Samsung, Micron and Hynix which we long -- for a long time we did the penetration effort in order to take the market share and they are proving itself to be sufficient and good and this is why they are in the 10% customer thing in the fourth quarter. We have TSMC that started to invest heavily in N5, this is why you see them going in the fourth quarter. And regarding the Chinese market, this fifth customer is Huali which we have 100% market share in and actually becoming the one of the largest foundries in China. So we see China. We see Taiwan, we see Foundry with the Memory. We’ve seen Memory, both NAND and DRAM. And actually this is reflecting the exposure or the balance exposure that we have two different territories and different segments.
MarkMiller: Okay, you mentioned you’re starting to see some replacement at trailing nodes. Any estimate what percent of sales are coming from these replacement of existing tools at the trailing nodes?
Eitan Oppenhaim: Well it’s not -- it’s not a phenomena that we can name as a significant percentage. What I said is on the service support spot is that sometimes those trailing nodes which are heavily crowded like for example, the 28-nanometer, there are some expansions happening there, and some of the old tools that are installed there for the last five to six years are not currently giving enough productivity or enough metrology capability. So on those trailing nodes, we see sometimes that the request in order to upgrade them either to a new version or a new node. But it’s not something significant that we should talk about as a significant part of our revenue. It’s one of the phenomena, not a significant part.
MarkMiller: To the tools that were introduced five, six years ago in terms of light source of detectors, do they have the technology or the power to basically work for the current nodes or the more advanced nodes or do you have to upgrade detectors or also light sources?
Eitan Oppenhaim: No, no need to replace detectors. I’ll share with you the issue on the trailing node usually coming on the advanced technology providers. Usually what happens today, -- in the fit and the main trend is to combine memory over a logic device, what we call, embedded memory. It can be SRAM, it can be MRAM, it can be other ReRAM capability. Therefore, those devices are becoming very challenging to optical capabilities so therefore because it’s becoming a very complex stocks usually requires some advanced metrology. So it’s not -- it’s not relevant to the source. It’s not relevant to other capabilities on the hardware. It’s usually we need a tool that will be much more precise, much more accurate, and even on the new tools that we’re coming in sometimes that they are with the same source. So the source is not an issue.
MarkMiller: Thank you.
Operator: It appears there are no further questions at this time. Mr. Oppenhaim, I’d like to turn the conference back to you for any additional closing remarks.
Eitan Oppenhaim: Thank you operator and thank you all for joining our call today. By that, we conclude our Q4 and Full Year 2018 Earnings Conference Call. Thank you.
Operator: This concludes today’s call. Thank you for your participation. You may now disconnect.